Operator: Welcome to the Post Holdings Fourth Quarter 2024 Earnings Conference Call and Webcast. At this time all participants have been placed on a listen-only mode, and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Daniel O'Rourke, Investor Relations for Post. Please go ahead.
Daniel O'Rourke: Good morning. Thank you for joining us today for Post's fourth quarter fiscal 2024 earnings call. I'm joined this morning by Rob Vitale, our President and CEO; and Jeff Zadoks, our COO; and Matt Mainer, our CFO and Treasurer. Rob, Jeff and Matt will make prepared remarks, and afterwards, we will answer your questions. The press release that supports these remarks is posted on both the Investors and the SEC filings portions of our website and is also available on the SEC's website. As a reminder, this call is being recorded, and an audio replay will be available on our website at postholdings.com. Before we continue, I’d like to remind you that this call will contain forward-looking statements which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call, and management undertakes no obligation to update these statements. This call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our website. With that, I will turn the call over to Rob.
Robert Vitale: Thank you Daniel. Good morning, everyone. We finished fiscal '24 with a strong fourth quarter and are proud of the results for the full year. The last two years have seen a step change in adjusted EBITDA growing by 45%. Roughly half of this resulted from organic growth and half from the pet acquisitions contribution. In addition, we converted this growth into strong free cash flow, generating approximately $1 billion over the past two years. In FY '24, pricing caught up to input costs. We made continued improvement in our manufacturing supply chains and sustain the remarkable start for our pet business at over 2 times our acquisition case. Meanwhile, our diversified portfolio, price points and value-added product offerings continue to provide volume offsets to a challenging consumer backdrop. We are now in an attractive position to return to algorithmic growth with a high degree of optionality provided by our capital structure. Between the profit growth and cash flow generation I highlighted, we have reduced net leverage by more than a full turn over the last two years. In FY '25, we expect a more normalized operating environment. Inflation has leveled, but has not receded consumers and therefore, volumes remain under pressure. We believe the degree of category declines we experienced in FY '24 will add, with the recent cereal category performance is a good reference point. From a capital allocation standpoint, we continue to evaluate M&A opportunities. And while I have lately described our pipeline, it's very deep. We remain extremely disciplined with respect to valuation. If the right opportunity fairly priced presents itself, we are well-positioned to react. Meanwhile competitive uses of capital are always available. Sometimes overlooked is the option value created by the refinancings we executed in FY '24. They added significant runway to our maturity ladder and increased liquidity, providing for more opportunities for aggressive capital allocation. Finally, I would like to thank all our employees for a very successful 2024. The strength of our operating model, our diverse product offering and our exceptional management team continue to give me a great deal of confidence in our 2025 plan. And lastly, before turning it over to Jeff, I want to congratulate Matt on his promotion that we announced in yesterday's press release. Jeff?
Jeff Zadoks: Thanks, Rob, and good morning. PCB closed out an exceptional year with a very strong Q4 as both grocery and pet grew their relative profit contributions versus prior year. Major drivers were annualized pricing strong sustained performance in cost and manufacturing and growth from our valued product offerings more than offsetting lower cereal category volumes and higher advertising spend. Within cereal, we saw the rate of category decline slow to 2.6% which is in-line with the pre-COVID historical trend. Our branded portfolio outperformed the category and private-label continued to grow which given our private label share accrued to our benefit. Pet consumption volumes were down roughly 2% versus a flat category driven by reduced distribution points for Nutrish and some price elasticity in Gravy Train. Our overall share remained relatively flat with our premium brands continuing to show sequential stabilization, which was a key priority coming out of the acquisition. As we move into fiscal 2025, we shifted our attention from stabilizing to strengthening our premium brands, led by our Nutrish relaunch that kicks off at the beginning of the calendar year. We completed the closure of our Lancaster cereal plant on time and on budget. While this improves our capacity utilization within cereal, we will continue to evaluate our network for further optimization. At the start of November, we exited the Smucker's TSA and moved the pet business onto our own systems. While too soon to declare victory, the cutover thus far has been without significant disruption. Moving to food service. We delivered a very strong quarter overcoming challenges from our HPAI-driven supply constraints, a pullback in restaurant foot traffic and continued challenges in our [shake] (ph) manufacturing start-up. Overall volumes were up 3.6% led by distribution gains in both eggs and potatoes. Our highest margin precooked egg products led the way, up 7.5%. While as expected, Q4 adjusted EBITDA trailed prior year given the significant HPAI pricing benefit in fiscal 2023, it did outperform the expectations we set on our last call. The drivers of this outperformance were twofold. First was stronger-than-expected mix. Second was our ability to utilize our egg inventory to better match the cost impacts of our HPAI supply imbalance with our pricing adders. As expected, our Refrigerated Retail business had sequential improvement in Q4 as we course corrected the trade issues experienced in Q3. We saw year-over-year volume growth of 6% within our side dishes despite less support from our recalibrated trade spend. Strong manufacturing, supply chain and cost control continue to support this business. Lastly, at Weetabix, UK cereal category volumes pulled back to down 2% for the quarter with our branded biscuits down 3%, as we lapped heavier promotion last year, and we focused on inventory build for our Q1 ERP conversion this year. We are now live on our new ERP and the early read indicates it is progressing as planned. From a macro environment standpoint, we are seeing some green shoots in the UK, as inflation levels off and consumer confidence improves. While this is encouraging, our path to margin recovery continues to be the multi-year execution of cost-out opportunities identified during fiscal year 2024. With that, I'll turn the call over to Matt.
Matt Mainer: Thanks, Jeff. Good morning, everyone. Fourth quarter consolidated net sales were $2 billion and adjusted EBITDA was $349 million. Net sales increased 3%, driven by acquisitions. Excluding acquisitions, sales were flat as lower overall volumes in our retail businesses were offset by volume growth and favorable mix shift in foodservice. SG&A increased in the quarter primarily due to targeted marketing investments in our retail businesses. Excluding the benefit of reflection pet food acquisition, Post Consumer brands net sales decreased 3% and volumes decreased 6%. Average net pricing increased 3%, and volumes declined mainly due to Smucker's Q1 repatriation of pet food we manufactured for them. Segment adjusted EBITDA increased 2% versus prior year as we benefited from the contribution of Perfection Pet improved branded cereal performance and strong manufacturing and supply chain cost performance for both grocery and pet. Foodservice net sales increased 5% and volumes increased 4%, revenue reflects favorable volumes and mix shift to higher value-added products. The volumes reflect distribution gains in both egg and potato products. Adjusted EBITDA decreased 8% as we saw elevated egg cost ahead of pricing in the current year and lapped avian influenza price benefits in the prior year. These headwinds were partially offset by a favorable mix shift to higher margin pre-cooked eggs. Refrigerated retail net sales decreased 3%, while volumes increased 1%. Favorable side dish and sausage volumes were offset by distribution losses in egg and cheese products. Segment adjusted EBITDA increased 3%, driven primarily by manufacturing cost control. Weetabix net sales increased 4% year-over-year. Sales benefited from the Deeside acquisition and a foreign currency tailwind of 270 basis points from a stronger British Pounds. On a currency and acquisition neutral basis, net sales decreased 4%, and volumes decreased 7%, driven by the decline in non-biscuit products. Segment adjusted EBITDA increased 30% versus prior year, led by lower advertising and trade spend in the current year. Turning to cash flow. We had another strong quarter, generating $235 million from operations and approximately $100 million in free cash flow net of CapEx spend. For the fiscal year, we generated approximately $500 million in free cash flow, net of elevated CapEx behind key investments in cereal network optimization, pet food safety, capacity and R&D plus food service investments for the expansion of precooked and cage-free capacity. In addition, we repurchased 400,000 shares in Q4, at an average price of $107.48 per share, bringing our fiscal year total to approximately 3 million shares at an average price of approximately 102%. From a debt management standpoint, we acted on what turned out to be a temporary pullback in interest rates and issued $1.8 billion in debt. This added cash to our balance sheet and pushed out our 2028 bond maturity to 2034, while maintaining our net leverage at 4.3 times. Before we get to Q&A, I have a few comments on our fiscal 2025 guidance. As stated in our earnings release last night, we expect FY '25 adjusted EBITDA to be in the range of $1.41 billion to $1.46 billion. On a consolidated basis, we expect our quarterly adjusted EBITDA cadence to be balanced across the year with offsetting variations between our segments. Finally, our CapEx guidance of $380 million to $420 million remains elevated as we continue to spend on the same key investments within PCB and Foodservice that we started in FY '24. Most of these investments will complete in FY '25, however there will be some tailwind to 2026. Thank you for joining us today, and I will now turn the call back over to the operator.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question will come from Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Great. Good morning, thanks for the questions. Rob, obviously, I know Post focus is more on EBITDA and capital allocation, and not sort of top-line growth for top-line growth's sake. But I know that other than in food service this past quarter, the top-line decline in sort of all the other segments. And I realize there are different reasons in each case, some of which are the TSA shift over or maybe declines in some lower margin businesses. But I guess my question is, at what point do maybe some of the declines start to be more of a concern in that ultimately, right, the top-line enables continued EBITDA growth once much of the margin opportunity is sort of leveraged.
Robert Vitale: Sure. I don't think there's any argument we can't shrink our business to prosperity. But what we do aggressively do is manage out lower margin business and not worry about that volume reduction. Meanwhile -- and I'm really focused primarily on cereal in this response because Foodservice volumes have some volatility, but have a pretty good strong upward momentum. On cereal, we have a more flexible footprint having purchased most of our plants. And as a result, we have miles to go with respect to optimizing the network. We believe at the same time that the trends will start to come back to -- closer to flattish over time. But the point by which it becomes an issue is when the plants become de-leveraged, and we no longer have the ability to shrink capacity. We are quite a ways from that because of the way we compiled the portfolio of businesses.
Andrew Lazar: Great. That's really helpful. I guess second the large private label player earlier this week saw private-label volume in their categories declined in the mass channel in this third quarter. I'm just wondering if you've seen something like this in private label in your categories. And so I guess it's the age-old question, what's your latest thoughts on sort of where the volume is going at this stage because I'm sort of running out of options around or excuses on where it's going, and it's still a bit of a puzzle to me. Thanks so much.
Robert Vitale: We have not seen any erosion in our categories in terms of private label penetration. So it's as -- I think as Jeff mentioned that we've seen some growth in private label on cereal and the same is true of 8th Avenue. So I think it's very much a category-by-category question. In terms of volumes, I think that -- with the things settling down post-election with the inflation settling down a bit that we will start to see a reversion to norm, and then we will be able to stop guessing.
Andrew Lazar: Yeah, great. Thanks so much.
Operator: Thank you. Our next question will come from Ken Goldman with JPMorgan. Please go ahead.
Kenneth Goldman: Hi, good morning. And thank you. Just wanted to start by asking on eggs. Obviously, the market price has been volatile. I know that doesn't really tell your story, but just in an HPAI-type world. What are your latest thoughts on your need to take some price, your ability to take some price. I know you've talked in the past about how you've taken price and the underlying egg went down. And so I just wanted to kind of get the -- your latest thoughts there on that situation, just given some of the volatility we're seeing, again, just in market prices.
Robert Vitale: Well, in general we are less susceptible to the volatility than our [shelved egg] (ph) compatriots because of our value-added offering. But we obviously do face some cost pressures. And when they occur, we are generally in a position of either taking pricing or allocating to customers, and we leave that to their discretion. So while we are not immune from the effect of avian influenza, so we are mitigated in terms of our value-added pricing model, both on a pass-through basis and on a market basis.
Kenneth Goldman: Okay. And just shifting topics. As we think about the EBITDA range just the upper and lower-end, besides the obvious factors of demand for your products and operational efficiencies and so forth. Just how do you think about the key factors that might bring your year toward that upper-end, toward that lower-end? Are there any kind of unique x factors for lack of a better phrase that you're thinking about this year in particular?
Robert Vitale: We got ERP conversions occurring in a couple of locations that add some a little bit of uncertainty. There's been some pressure on Bob Evans’ side dishes that we need to pay attention to when bring growth back to. There are any number of areas where there's opportunities to build upon that guidance and threats to see the lower end. But one of the other, I think aspects of our guidance is we ended the year quite strong. So if you look at the high-end of our range, we're very comfortable with the algorithm on the low-end, it is a little soft, but that's as much a function of where we ended rather than where we start.
Kenneth Goldman: Great. Thanks very much.
Robert Vitale: Thank you.
Operator: Thank you. Our next question will come from Matt Smith with Stifel. Please go ahead.
Matthew Smith: Hi, good morning. Thanks for taking my question. I wanted to follow up on the fiscal '25 EBITDA question and more specifically on the Foodservice side, last quarter you talked about the run rate being around $105 million. Can you talk about the levers for growth on EBITDA for Foodservice specifically for the upcoming year again, you face a pretty tough comparison. So just understanding where you are starting from and your expectations for the business next year.
Robert Vitale: Well, the key drivers are foot traffic volume in QSRs, and secondly, mix migration to greater value-added products. So between the two of those trends, we feel comfortable meeting our growth targets within Foodservice. Now on the other side of the ledger, AI is just an uncertainty. And as we just talked about AI as a pricing reaction rather than something we planned for.
Matthew Smith: Thanks Rob, and maybe a follow-up. We haven't talked about the progress you're making on the aseptic shake manufacturing footprint there. How is the business running today? Is there still room for continued improvement in the output there?
Robert Vitale: There's a lot of room for continued improvement in the output. We are running at lower than our expected run rate. We expect to get to the run rate closer to the second half of FY '25, which is a year later than we expected. We've had some challenges with equipment. We've had some challenges with lead times in receiving and replacement parts -- critical parts in fact. And then finally, we've had some labor issues that have all led to about a year delay in getting to the run rate we need to deliver.
Matthew Smith: Thanks, Rob. Appreciate it, and I’ll pass the line.
Operator: Thank you. Our next question will come from Michael Lavery with Piper Sandler. Please go ahead.
Michael Lavery: Thank you, good morning. You touched on how pet is exceeding more than kind of doubling your planned EBITDA, but with the perfection deal, I think you are also able to rearrange your geographical approach a little bit. Can you just give us a sense of what some of the savings or efficiencies there might look like and what the timing could be and how we should think about that coming through?
Robert Vitale: Well, I think ultimately we are still looking at the network that we both acquired in the two acquisitions and that had been built by Smucker and trying to determine if we have the right geography. So there is network optimization work that will continue to be done. The Perfection acquisition was in part an opportunity to gain some access to Western manufacturing and distribution. So it was a network opportunity. It was also an entry into [co-man] (ph). We will likely shrink some of that co-man business and ultimately move some of our business out west as we determine what the optimal footprint is for delivering to our customers. So we've embedded that in the FY '25 guidance. I think additional benefit from that won't come until '26 when we complete that network optimization work.
Michael Lavery: Okay. That's really helpful. And just looking at Weetabix, those margins had some pretty significant pressure two years ago. You've caused some of that back, what should we think in terms of kind of the runway for -- can you get back to the margins you had, and how long might that take?
Matt Mainer: Yes. So we're looking at that as a multiyear journey, and we've talked a little bit about work we've done to identify cost out and some opportunities to simplify the portfolio. That's a multi-journey or multi-year path I'd say in the current year, we talked a little bit about ERP conversion. And when you think about sequential margin, certainly going to put a little pressure on what we saw in Q4 and Q1 and Q2, just given some of the disruption around how big of a conversion that is. But we would expect in the back half of the year to kind of regain our momentum along that cost out. And again we see that as probably a couple three-year path to get back towards our 30% level.
Michael Lavery: Okay, great. Thank so much.
Operator: Thank you. Our next question will come from David Palmer with Evercore ISI. Please go ahead.
David Palmer: Good morning. Just looking at the consumption data, if you were to look at cereal, pet, refrigerated all we're doing low single-digit type consumption down in the last 12 weeks. So maybe consistent starting points. If you had to guess looking at your plans, your growth plans going through fiscal '25. What are the likelihood -- what's the likelihood for each of those areas in terms of return to organic growth? And how do you plan that may be playing out sequentially from here? Thanks.
Robert Vitale: Well, we tend to think of cereal as in long-term sequential very low single-digit decline. So between 0% and 1%. We've been a bit more bearish in our assumptions for '25. But longer term, we think it gets to that range. And with some of our other categories, we expect it to be 0% to 2% growth.
David Palmer: And that how you're thinking about it for fiscal '25 as well.
Robert Vitale: Yes.
David Palmer: The other thing I wanted to ask you about was in Foodservice, I was really bracing for impact to some degree on the top-line because of what we've seen in Starbucks and Dunkin, and it was really a rough quarter for those players. It's getting better with Dunkin. It hasn't been getting better yet with Starbucks. I know those are big value-add type customers. I'm wondering how big of a variable is that in the year if we do see for example, Starbucks get much better from here. And if the QSR animal spirits get -- pick up demand as a lot of people are anticipating, how much could that really help the margins and the run rate in that $105 million per quarter type EBITDA.
Robert Vitale: Well, the benefit of that particular growth in the accounts that you named is that they tend to be more value-added products. So there is the benefit of volume, the benefit of absorption and the benefit of mix. So to the extent there is to use your term animal spirits that show some vibrancy coming out of that, that benefits us meaningfully. We do not plan on major changes in trends in the short-term. So we tend to keep the trend intact and assume that kind of opportunity is longer-term.
David Palmer: Great. Thank you.
Operator: Thank you. Our next question will come from John Baumgartner with Mizuho. Please go ahead.
John Baumgartner: Good morning, thanks for the question. Rob, I wanted to come back to pet, and you're thinking in terms of future development, as you assess the landscape, whether it's by price tier or across brands, you have some rebranding efforts now, I think in your branded business. How much reinvestment are you willing to deploy to sort of drive growth or accelerate that business? And alternatively how do you think about the value just sort of inherent in the manufacturing assets, being a best-in-class producer for private label or smaller brands. Just your thoughts on relative returns on capital, the risks entailed and sort of the relative rewards and pursuing each of those paths.
Robert Vitale: Well, in the short-term I think our greatest opportunity is to drive the existing portfolio that we have, make sure that we do a good job relaunching our premium brands. Those had suffered some neglect for a period of time, and they need some investment behind them. A meaningful amount of investment is already baked into the FY '25 guidance. When you step back and go longer-term, I think the first of all the answer to your question is that we certainly do look from an asset utilization perspective at other channels, whether there are opportunities in private label or contract manufacturing or whatever the case may be, and we're willing to use the assets appropriately. But we also may look at shrinking the assets if there are opportunities to be more -- to have greater productivity and fewer plants. So I wouldn't presume one direction or another just yet. We look at growth in that area as both an opportunity to show some organic growth in the way we've talked about and then some inorganic growth because the category remains rich with opportunities. You saw one yesterday, there are others that are probably in a price point that makes more sense for us, and we continue to evaluate those. So we certainly look at it as an opportunity for growth, both that we can drive ourselves and that we can acquire.
John Baumgartner: Okay. Okay. And then on Foodservice, you're sustaining some really good momentum still in value-added eggs, you referenced the distribution growth of potatoes. Can you discuss the fundamentals of potatoes a bit more, just given the dislocations we're seeing within the frozen segment, the excess capacity, the deep value promotions at retail and the QSRs. How do you see some of these whipsaws in the industry I guess, either accelerating or challenging marginal growth for the refrigerated segment? I mean are you seeing conversations sort of changing with operators? Is there new found interest? How do you think about the potato side of the business?
Robert Vitale: Well, I think it is a different category than the frozen business. So we tend to succeed by converting from fresh users to value-added users. And we see no pressure on that trend. So we continue to believe that both from a margin and a volume perspective Foodservice, Refrigerated, Potatoes are a growth segment. Where we are seeing some pressure is on the retail side where all of the volume trends and some of the competitive dynamics are making it a bit more challenging. But on the Foodservice side, we feel very comfortable with that trend.
John Baumgartner: Thanks Rob.
Operator: Thank you. Our next question will come from Rob Dickerson with Jefferies. Please go ahead.
Robert Dickerson: Great. Thanks so much. Good morning. Just first quick question, kind of simple. It's just I think you made the comment next year within the EBITDA guide for the year, we should expect a fairly kind of balanced EBITDA per quarter. But then you also made a comment that kind of hopefully, as we get through the year, kind of the volume pressure, right kind of adds, right? Maybe the consumer gets a little bit better. We kind of start to find a bottom at least in some of these categories. So just simplistically like kind of within the guide is the expectation that kind of hopefully maybe revenue growth gets a little bit better as we get through the year, but maybe EBITDA just kind of stays in a similar fashion. Is that fair?
Matt Mainer: I think that's fair. I mean, again I think Rob mentioned we are not really forecasting significant changes in current volume trajectories in our plan. So it is got some level of a status quo in terms of that. But we do think, as we get into the back half of the year into next year, again, some of this is transitory, and like we are seeing in cereal as an example, have seen that category come from being down 4% to 5% to normalize more like down 2% or so as of late. But we really don't have any significant lifts in terms of category changes in our guidance right now.
Robert Dickerson: Okay. Good. Fair enough. And then just secondly on cereal. You made the comment earlier just now was just kind of around starting I guess, to get less bad, right? The rate of decline is improving. Maybe just kind of unpack that a little bit. Just maybe if you could just speak to kind of what you are seeing with respect to competitive activity, like our -- are promotional levels stepping up or not really just given maybe it is kind of more of a slight secular declining category? And I'm just also trying to understand kind of the profit opportunity in cereal which is a big category for you that's also scaled and attractive margin as we get through next year, let's just say, if it were to go back, right? Even though you're not projecting it, let's say if it were to go back kind of to normalize, let's say, flat to down on volume category, like is that a fairly attractive profit opportunity? Thank you.
Matt Mainer: Sure. Yes to the second point is the category where to get to flat or have some level of slight growth that would be meaningful to our business, for sure in terms of what we're seeing currently in the category, competitors remain rational from a promotional standpoint. Obviously, as you can expect we are hearing more from retailers around that. But I think as we think about that, if we put the end any of that -- it would be more -- get something in return in terms of shelf space or additional distribution. But right now, I'd say it's a pretty rational environment.
Robert Dickerson: All right. Super. I’ll pass it on.
Operator: Thank you. Our next question will come from Marc Torrente with Wells Fargo. Please go ahead.
Marc Torrente: Hi, good morning. Thank you for the questions. First looking at your recent presentation, it appears you rebalanced some of the underlying drivers here, 3% to 4% EBITDA growth algorithm. Maybe could you help frame some of those changes there in the context of the longer-term outlook. And then with that bridging to the '25 EBITDA guide segments where you would expect to be above below those long-term targets on the base and then layering on any other puts or takes to call out.
Matt Mainer: Sure. So I think, the updates we made in our prior presentation a year ago, I think we had more significant growth around PCB just given what we saw coming in pet. Obviously, we accelerated a lot of that growth and more than over deliver what we expected. So we've recalibrated that it more like a 2% growth rate over time driven by a category and pet we see growth in a cereal category that we see flattening and then cost out continue to be a driver when you think about network optimization in both, Foodservice we updated to 5% in terms of the growth rate, and that's really in-line with historical CAGR. And obviously, we are still working through our challenges on the shake co-man startup, but confident we'll get that in order, and that will provide some growth over the five-year horizon as well. Weetabix, I think we just updated a little last year growth, but that's off a much lower base, we've talked about given the pullback in margin. And again that's driven by cost out and simplification in the portfolio, and we have identified projects for that. The Refrigerated is really the same. Again driven by half of that portfolio a sides. We've seen that in the past be high-single digits. We think we will get back to that, and the other half of the portfolio is more commodity exposed and flat combined gets you to the 5%. In terms of this fiscal year, I’d say, with the exception of Weetabix like I said, that we think the ERP conversion is going to cause a drag year-over-year, so don't see them generating growth in relation to the [algo] (ph). The other three, I think definitely more in line with algo with some conservatism around Nutrish reset within pet, we expect to cause potentially some disruption in the second half of the year, as you think about changing over the shelf. And then we also have, obviously the conversion from Smuckers that we're live on right now. But again, I think Rob talked about the higher side of our guidance is that combined algo and then we've been a little more conservative given some of the ERP and Nutrish reset in terms of the midpoint.
Marc Torrente: Okay. That's very helpful. And then on refrigerated retail, you called out some distribution losses and some lower margin products. Any more color on the impact there, how long will this cycle through? And will you look to backfill some of those or just continue to shift focus to more profitable areas of the business.
Matt Mainer: Sure. So that was in eggs and cheese. On the cheese side of things, we lapped that in Q2 of this fiscal year. Again, that is a business we continue to evaluate in terms of alternatives there. I think on the egg side of things, we will lap that distribution loss in Q1. We've improved supply. I think the challenge there is avian influenza and egg prices in general are extremely elevated these days, which put some pressure on that business. We've got supply in a better spot. So I think opportunities if we can get some, I'd say, more normal environment in terms of egg pricing.
Marc Torrente: Okay, thanks I will pass it along.
Operator: Thank you. At this time, we have reached the end of our Q&A session. This will also conclude today's Post Holdings fourth quarter 2024 earnings conference call and webcast. Please disconnect your line at this time, and have a wonderful day.